Operator: Welcome to the Baldwin Technology Q4, year-end conference call. (Operator Instructions) I would now like to turn the call over to Helen Oster, Corporate Secretary.
Helen Oster: I'm Helen Oster, Corporate Secretary and Director of Investor Relations for Baldwin Technology Company. Also with me today on this call are Karl Peuhringer, President and Chief Executive Officer; and John Jordan, Vice President and Chief Financial Officer of the company. Participating by teleconference is Gerry Nathe our Chairman. I'd like to remind participants that this call is being recorded. An audio replay of the call will be available for one week. The telephone numbers are provided in the earnings release and on our website. An archived webcast will also be available for 90 days through a link on the Investor Relations section of the Baldwin website at www.baldwintech.com. Now before we begin, I will read our cautionary statement. During this presentation, representatives from the Company may make statements or present information regarding expected future order in sales rates, operating margins and profitability or other items which may constitute forward-looking information as that term is defined in the Private Securities Litigation Reform Act of 1995, or by the Securities and Exchange Commission in its rules, regulations and releases. Listeners are cautioned that any such forward-looking statements are not guarantees of future performance and we urge you to read Item 1-A, Risk Factors, in the company’s report on Form 10-K for the year ended June 30, 2007, for some of the factors that could cause actual results to differ materially from estimates contained in any of the company's forward-looking statements made during this presentation. Having read that let me now introduce our President and Chief Executive Officer, Karl Peuhringer for comments regarding Baldwin’s performance. Karl.
Karl Peuhringer: Thank you Helen and good morning to all of you, and welcome to our fourth quarter and year end earnings conference call. During the fourth quarter the company reported total net sales of US $65.3 million representing an increase of $8.4 million or 14.8% compared to the same period in prior year. This represents one of the strongest shipment quarter in the company’s history. Giving the current status of the global economy and based on recent press releases from other companies in the printing industries, Baldwin’s positive results might come as a surprise. I will comment later during my remarks on key drivers for this improved performance. As a result of our strong shipment levels in Q4, the company also recorded strong operating income during the quarter. Additionally, the company made significant progress during the second half of its fiscal year 2008, in managing the cash flow from operating activities through active working capital managements. John Jordan will review with you the highlights of our financial performance after my remarks. The high fourth quarter shipments reduced our order backlog to $48 million at the end of June 2008. Strong order in-take during the month of July, including the booking of a $2.6 million Newspaper order from Nikkan Sports Newspaper Printing Company, a subsidiary of Asahi Newspaper Group in Japan increased our order backlog to $54 million at the end of July 2008. In fact our order in-take during the month of July this year was almost 30% higher than the order rate in July, one year ago. As I mentioned previously, Baldwin performed stronger during the past several months than one might expects based on the current economic conditions. Several initiatives and dynamics contributed to this development; firstly for Baldwin there are two favorable trends in the newspaper industry. (a) Due to the competition for advertising dollars from alternative media, such as the internet. Newspaper publishers are aggressively targeting to lower their production cost and improve the color and quality of their print advertising. They do that by either outsourcing the production to a third party or by internal pooling of production volumes. Both cases drives the demand for new printing centers including investments in new printing equipment and state-of-the-art process automation equipment (b) To improve plant utilization, newspaper printing plants are also increasing their production of semi-commercial product such as colorful newspaper insert. That again creates additional demand for Baldwin equipment as we offer beautifully technologies for those newly emerging production processes. Those dynamics combined with our close relationships with OEM press manufacturer and our diligent focus to identify, track and successfully close on project in these segments, enables us to expand our position in the newspaper segment. Secondly, the company benefits from an increasing demand for it’s consumables and parts, driven by growing installed base and trends in prints towards shorter-runs and more colors as a result of the competition with alternative expediting media to print, that I’ve just discussed. We are constantly engaged in further development of our consumable product offering to insure the best value to our customers on a global basis. Thirdly, the company’s unmatched global present in all major markets for print, particularly in our growing presence in emerging countries enables us to take advantage of dynamics in emerging regions. Printers and publishers in those fast growing areas, now also tend to invest more into automation of the printing process. We expect those dynamics to continue and to generate further opportunities for our products offering. Our strategically important presence in Japan for 40 years, our initiatives in China and our operations in India provide us with a strong plus point to take advantage of opportunities appearing in Asia. Fourthly, as a result of increasing awareness of the effects of printing on the environment and the desire to make the process more environmentally friendly, we are also experiencing growing demand for our filtration technology. Those investments upgrade not only contribute to the cleaning of print, but they also provide short payback periods in many cases less than a year. Additionally, Baldwin’s cleaning consumables are well-suited for the new environmental requirements. As a consequence the demand for our pre-impregnated washcloths that contain solvents with very low levels of volatile organic compounds (NYSE:VOC) content is growing. Finally, the contribution of each Baldwin employee has been a differentiator for this year’s performance. Baldwin’s right to win, so to speak is to rise from outstanding products and to determine effort and commitment of our dedicated employees. Under the guidance of the Baldwin leadership team, a dedicated and experienced group of managers has worked together extremely well this past year. Baldwin further improved its competitiveness in the marketplace. Very active account management to serve all major OEM press manufacturers, the development in successful market introduction of new and improved products during this past year. Active management of resources to address changing demand in the markets combined with an upgrading of our marketing material and tools all contributed to the success during the past year. We assigned customer relationship specialist to insure that we understand each customer’s strategies and products needs, and which evolves the organization to make certain their needs are satisfied. I’m indeed very grate for the effort from our global team. Let me now give you some feedback from Drupa 2008. From May 29, through June 11, Dusseldorf was host of the worlds leading exhibition for the print media industry. The feedback from press manufactures throughout the show was very positive. They reported strong demand during the two weeks at Drupa 2008. Customers from emerging countries such as China, Eastern Europe and Latin America especially contributed to that success. Drupa 2008 provided us with a great platform to show our range of innovative process automation technologies. As reported during our last call, we also celebrated Baldwin’s 90th anniversary during the show. The traffic at our booth throughout the 14 days, both from OEM press manufacturers as well as from printers and publishers was very impressive. Our booth was strategically very well positioned and our open stand concept attracted many visitors. During the show we also introduced our new cleaning platform for newspaper applications, Impact Fusion F and ProTect 2, setting new standards in blanket cleaning for newspaper print. These products have been designed for straight newspaper or semi-commercial print applications where gas dryers or UV Curing Systems are installed. Finally, I’m to report you on our progress to expand Baldwin’s presence in China. We successfully started the production of our first product in Shanghai this past year and we are now implementing the transfer of sourcing and manufacturing of a second product line to China. As previously mentioned, China and its surrounding Asian market is a very promising print market and it will play an increasingly important role in our activities in the future. This concludes my remark and I will now ask John Jordan to review the company's financial performance. John.
John Jordan: As Karl mentioned we are very pleased with the fourth quarter and the results for the year. As you read in the press release net sales for the fourth quarter was $65.3 million versus $56.9 million for the same quarter in 2007, an increased of $8.4 million or 14.8%. Favorable currency effects contributed 10.9% growth or $6.2 million. Sales for the year of $236.3 million were $34.9 million or 17.3% higher than fiscal 2007, of which 8% or $16.1 million was attributable to currency effects and $16.1 million was attributable to acquisitions. We recorded growth in nearly all product lines, with healthy growth from recurring revenues product, service and consumables. Growth margin of 32.2% in the quarter was slightly less than the 32.4% reported in fourth quarter 2007, but improved our total year 2008 gross margin to 31.6%. The currency adjusted margin was 31.8% less than last years fourth quarter margin, but improved from the currency adjusted 30.8% in third quarter this year. Our strategic sourcing initiatives and improvements in production efficiencies help us maintain reasonable margins in a challenging market environment, and our existing global infrastructure facilitates this important sourcing flexibility. Operating expenses for the current quarter of $17.3 million were $1.8 million greater than the same quarter last year, $1.4 million of which was attributable to currency effects. As a result of the restructuring initiated in 2007 and 2008, our disciplined approach to cost management, OpEx decrease as the percentage of sales from 27.3% in fourth quarter 2007 to 26.5% in fourth quarter 2008 and total year from 27.7% in 2007 to 27% in 2008. With respect to the integration of the Oxy-Dry acquisition in November 2006 we are pleased to report that it has been completed and all the planned operating savings have been achieved. Interest expense, net of interest income for the quarter were approximately $700,000 was the same as last years interest expense, because we achieved our targeted debt repayment for the year late in the fourth quarter. Fourth quarter tax provision was approximately $200,000 resulting from an effective tax rate for the quarter of 18.5%, offset by a release of valuation allowance of above $400,000. The low fourth quarter effective tax rate resulted from the fourth quarter effect of adjusting the total year effective tax rate from over 46% down through 42%. Since the company is consistently generating taxable income in the U.S. reversal of the valuation allowance is appropriate commensurate with the future years forecasted taxable income. As we have previously mentioned, the ability to reverse the valuation allowance is a testament to U.S. operations sustainable profitability. As a result of these effects, fully diluted EPS for the fourth quarter was $0.20 a share versus $0.23 a share for the 2007 fourth quarter. $0.41 a share for the current year versus the 2007 result of $0.42 a share. The June 30, full-time employee headcount was 655, three less than at the same time a year ago. As Karl mentioned, we ended the quarter and year with a backlog of approximately $48 million, a reduction from the $52.7 million backlog at year end 2007. Fourth quarter orders of $50.4 million compared favorably to fourth quarter 2007 orders of $45.6 million, additionally as Karl mentioned, our July order rate 30% higher than last July has restored the backlog $54.1 million essentially unchanged from $54.2 million at July 31, 2007. Increases in balance sheet accounts since June 30, 2007 result primarily from the effect of currency. Although total debt as reported long-term debt, backlogs payable and current portion of long-term debt decreased $7.5 million. When the effect of currency is removed i.e. when June 30, 2008 balances are stated in local currencies, the reduction is equivalent to $10.6 million. We were able to make these debt reductions because of our very strong cash flow from operations, $7.6 million switch derived from the excellent earnings performance, disciplined management of working capital and centralization of global cash management. Accounts and notes receivable as reported increased $1.7 million from $47.9 million in 2007, to $49.6 million at June 30, 2008, but after removing the currency effect accounts and notes receivable decreased $3.3 million. Inventories as reported increased $1.4 million from $30.4 million in 2007 to $31.8 million in 2008, but recast to remove currency effect inventories decreased $1.5 million. Thus accounts and notes receivable and inventories decreased in aggregate of $4.8 million after removing the $7.9 effect of currency. These reductions results from the initiatives introduced last year, which we expect to continue to produce improvement in working capital levels and operating cash flow during 2009. Consolidated days of sales outstanding and accounts receivables was 59 at June 30, 2008 and 64 at the end of 2007, inventory days at June 30, 2008 was 65 compared to 71 days at June 30, 2007. The company is not considered in accelerated filer for purposes of Sarbanes-Oxley Section 404 compliance and accordingly is not required to have external auditor performed compliance testing. The company is required to comply with the management attestation provisions 404 regardless of accelerated filer status and we have carried out the procedures necessary to that attestation. We expect to provide the required management attestation when the company files the Form 10-K in September. If the company is determine to be an accelerated filer at the next determination date of December 31, 2008 we will then be required to obtain external auditor attestation to the effectiveness of internal controls for fiscal year of 2009. Irrespective of accelerated filer status, the company will be required to obtain auditor attestation to the effectiveness of internal controls for fiscal year 2010. With that, I will return the call to Helen.
Helen Oster: Thank you John, this concludes the management’s presentation. We will now be pleased to take your question.
Helen Oster: While we are waiting for the first question, Karl will make a few comments about upcoming print exhibitions.
Karl Puehringer: I’m pleased to inform that Baldwin will be participating at Graph Expo during October 26 through 29 at McCormick Place South in Chicago, the industries largest and most comprehensive exhibition in the America. With over 400,000 net square feet of exhibitions space, this exhibition should be a good follow up for us in the America’s of the successful Drupa exhibition in Europe. Also during October 27 to 30 we will be present at the International Newspaper and Media Industry Trade Show April 2008 in Amsterdam, (Inaudible) will be on the promotion of several technical development, product offerings, engineered to set new standard for reduce wash time paper rate and consumable usage will be released during April 2008. At April Baldwin will also present an expanded range of equipment and consumable technologies for the semi-commercial sector, Christy back to you.
Operator: (Operator Instructions) Thank you our first question comes from Jessie Greenfield.
Jessie Greenfield: Yes, a couple of questions here, what’s the progress on the lawsuit that’s going on?
Karl Puehringer: Jessie I’m sure your referring to the lawsuit with Technotrans as it relates to pattern entrenchment in the past, that is currently at the Supreme Court in Karlsruhe and we understand that there are many pending cases at this moment in time at this Supreme Court so, our expectations at this moment is in time is there should be ruling during the first half of a calendar year 2009.
Karl Puehringer: That’s the first half of 2009 correct?
Karl Puehringer: Yes.
Jessie Greenfield: Next question is your buyback program, not that you have released your numbers do you anticipate starting up the program again.
John Jordan: Hi, Jessie good question, this is John Jordan. We have an available amount under that program of about $2.3 million and we continually watch and make repurchases when it’s appropriate.
Jessie Greenfield: And can you give us any inside into the quarter that you’re in currently?
John Jordan: I think we commented about the orders in July, the orders have been better than last year close to 30% and since we don’t give guidance, I think that’s about all that we are going to comment on this quarter.
Operator: Our next question comes from Tamara Manoukian with Greenwood Investments. Tamara Manoukian - Greenwood Investments Just a few questions, I thought that John mentioned that Oxy-Dry sales, alternately acquisition sales contributed $16.1 million in sales this quarter. Is that correct or am I confusing something.
John Jordan: No, that’s during the year Tamara, during the first six months of the year the comparable period during ‘07 didn’t have Oxy-Dry, it was actually the first five months. Tamara Manoukian - Greenwood Investments What was the contribution in the fourth quarter of this year from acquisitions?
Karl Peuhringer: In the fourth quarter of this year, we are not really tracing it anymore from acquisition because those operations are now fully integrated Tamara. So, we’re not directly tracking that anymore, but I can’t share with you that based on the integration both of Oxy-Dry corporation, which we bought late in calendar year 2006 and the acquisition of Hildebrand’s that was during the first half year of calendar 2007, of those product lines that is the brush cleaning technology as well as the web cleaning technology has actually preformed better than what we expected and again we attribute that to a consistent integration of the team and the employees of those companies and we also attribute that to the good technology, which we also upgraded in the meanwhile and all of the above has resulted in better than expected demand. Tamara Manoukian - Greenwood Investments That’s great. I think Oxy-Dry’s margins, when you guys justified were below your deals of Baldwin legacy margins, and one of the goals was to bring it up to legacy margins. So, I was wondering if we are on the right track, and if there is more room for improvement in terms of gross margins?
John Jordan: Yes Tamara, I think what we’ve said in the past was that by the end of calendar 2008 Oxy-Dry margins would be comparable to Baldwin's, and we are making very good progress towards that goal. Tamara Manoukian - Greenwood Investments And is there more room for improvement going forward in terms of gross margin?
John Jordan: There is definitely more room for improvement, but as I’ve said we’ve made really good progress. Tamara Manoukian - Greenwood Investments Okay, perfect and just a few housekeeping questions. What was depreciation and amortization in the quarter?
John Jordan: $2.8 million. In the quarter… Tamara Manoukian - Greenwood Investments In the quarter?
John Jordan: Its $2.8 for the year. Tamara Manoukian - Greenwood Investments Okay that’s fine, and what about capital expenditures for the year?
John Jordan: CapEx for the year was $1.857 to $1.9.
Helen Oster: Christy, any more questions?
Operator: Our next question comes from Harold Hause, he’s a shareholder.
Harold Hause: Yes, good morning. Couple more questions on the law suit, I was reading in the 2005 annual report that they a settlement was expected in 2006, then I read in the 2006 annual report, that the settlement was expected in 2007. Then I thought on the past conference call, it was indicated they thought something would becoming up February of this past year or this year and I’m just wondering do they have any type of docket where these cases are setup or they are going to be heard, or do they just pick them randomly?
Karl Peuhringer: Harold referring, obviously there was no settlement between Technotrans and Baldwin, so we are now relaying on the result from the Supreme Court in Karlsruhe, as it relates to how they chose the cases. I cannot really comment on that and I don’t really have the inside information on that, I only understand from our attorney in Germany, he’s based in Munich that they have a huge backlog at this moment in time and I don’t really know what the causes is for that either, and again originally, I think we’ve never been earlier that first half of calendar 2008, we have never been earlier with our expectations as a results from the Supreme Court and that is now basically one year delay, and the decision is on the nullification of the patent which we has one at the Patent Court in Munich and we are confident that the decision at the Supreme Court will again be in our favor.
Harold Hause: Has any attempt been made to negotiate with these people and proximately get a lesser settlement and maybe some type of licensing agreement or anything interest negotiating?
Karl Peuhringer: I’m always a friend of settlements. Whatever we can do I preserve settlement, but as we are still waiting for the Supreme Court, it’s the solid indication that’s we have not been able to reach that settlement, again I’m always open for our proposals from Technotrans, but at this moment in time we are waiting for the Supreme Court.
Harold Hause: I know that’s a pretty good amount that they are talking about, I think up to US $40 million, is this company going to have the assets if the Supreme Court rules in Baldwin’s favor to even pay this amount. I’m not sure just what size company this is?
Karl Peuhringer: Yes, the amount is around $32 million euros and the dispute is in euros and Technotrans is a public company, so their assets are visible as well.
Helen Oster: Christy..
Operator: Our next question comes from [Appam Bill from Claus Investments].
Appam Bill: Could you give us a sense of what CapEx should be for the next 12 months?
John Jordan: We have a total CapEx project of about $3.2 million.
Appam Bill: For the next 12 months?
John Jordan: Yes, we have some strategic initiatives that have CapEx associated with them. So, it’s a little higher than our normal CapEx of about $2 million.
Appam Bill: Okay and D&A, I guess we can just take this past quarter and annualize them?
John Jordan: It will be close, probably closer to two or three.
Appam Bill: Okay and as you look at, a previous quarter ask about the buyback and that you’d look at the cash flow that you’re generating. Are there any other potential uses of your cash flow, I mean are there acquisitions that you guys would look at or is it simply just using your cash either to buyback stock or pay down debt?
John Jordan: Well as we discussed with Jessie, the repurchase program is active and we use it as we think it’s appropriate. We have a strategy decline that includes organic growth and development within the company and there are alliances and potentially acquisitions that are part of that strategy. So, the cash flow and debt availability would be use for those as well.
Appam Bill: Okay and what do you expect the tax rate to be for the next 12 months plus?
John Jordan: It should be in the order of 40% to 42%.
Helen Oster: Since there are no more questions, let me wrap up today’s earnings conference call. Thank you for your participation. We appreciate you taking the time to hear about Baldwin’s latest news and development and we look forward to having you on our next call in October. Thank you.